Operator: Good morning and welcome to the Restaurant Brands International First Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode today. [Operator Instructions] Please note this event is being recorded. Now, I’d like to turn the conference over to Andrea John, Senior Director of Investor Relations. Please go ahead.
Andrea John: Thank you, operator. Good morning everyone and welcome to Restaurant Brands International’s earnings call for the first quarter ended March 31, 2016. A live broadcast of this call may be accessed through the Investor Relations page on our Web site at investor.rbi.com and a recording will be available for replay. Joining me on the call today are Restaurant Brands International CEO, Daniel Schwartz; and CFO, Josh Kobza. The team will be available to answer questions during the Q&A portion of today’s call. Today’s earnings call and presentation contains forward-looking statements, which are subject to various risks set forth in the press release issued this morning. This earnings call and presentation include non-GAAP financial measures. Reconciliations of non-GAAP financial measures are included in the earnings presentation and press release available on our Web site. Let’s begin with the agenda for today’s call on Slide 2. Daniel will review first quarter highlights at Restaurant Brands International. He will then review brand-specific performance at Tim Hortons and Burger King. Josh will discuss consolidated financial results for the quarter. Daniel will share some concluding remarks before opening the call up for Q&A. And with that, I'll turn the call over to Daniel.
Daniel Schwartz: Thank you, Andrea, and good morning everyone. Thank you for joining us today. I’m pleased to report our results for the first quarter of 2016 at RBI, led by the strong performance at our two iconic brands, Tim Hortons and Burger King. This quarter we reported adjusted EBITDA of $408 million and adjusted diluted EPS of $0.30 per share, setting a solid foundation for the remainder of the year. Starting on Slide 4, we achieved strong comparable sales growth at both brands this quarter. Successful marketing platforms, innovative product launches, and consistent focus on guest satisfaction led to global same-store sales growth of 5.6% for Tim's and a 4.6% for Burger King. Strong sales momentum at both brands contributed to growth in franchisee profitability building on the progress that we made last year to further improve our restaurant operators bottom line. On the development front, our restaurant count grew by 4.1% year-over-year and we added 30 net new restaurants during the quarter. We continue to be encouraged by our strong development pipeline for the full-year at both of our brands and are confident in our ability to accelerate the pace of restaurant growth versus the prior-year. Favorable comparable sales and restaurant development led to first-quarter system-wide sales growth of 7.9% and 10% at Tim's and Burger King, respectively. These strong topline results and consistent cost discipline contributed to RBI’s adjusted EBITDA of $408 million, which was up 23% organically compared to the prior year. Turning to Slide 6, it has been another positive quarter for Tim Hortons. Continued strength in beverages, as well as our food platforms across dayparts led to good results across all regions with global comparable sales up by 5.6% during the quarter. Restaurant count was 3.2%, up year-on-year with 25 net new restaurants added during the quarter. System-wide sales grew by 7.9% in constant currency and Tim's adjusted EBITDA of $228 million grew by 35% organically versus the prior-year results. Moving to Slide 7, we discussed our first quarter highlights in Canada. Same-store sales growth of 5.6% was driven by successful limited time offering such as the Pulled Pork Sandwich and the Croissant Breakfast Sandwich which was added to our breakfast offering. We also continue to experience good results for the relaunch of Nutella product starting in mid-March and drove strength in coffee with another great year of roll up the rim. While we’re very pleased with the Q1 sales performance in Canada, I’d note that there was a benefit to our comps from both the leap year effect and from better weather compared to the prior year and we’re going to be facing some more challenging prior year comparable sales levels as we progress throughout the year. With net restaurant growth of 17, we grew the store count in Canada by 2% versus the prior year and continue to see significant opportunities to create value for all of our stakeholders through accelerated growth across regions and channels in our home market. Lets’ discuss our results for the Tim's business in the U.S on Slide 8. First quarter comparable sales growth of 5.8% was driven by impactful product launches such as the Croissant Breakfast Sandwich and strength in our base coffee business. On the development front, we signed important new development agreements in Columbus and Indianapolis during the quarter, marking further progress in our strategy to build partnerships with well-capitalized strong operators who share our vision for the Tim Hortons brand in the United States. The quick succession of development agreements in Cincinnati, Columbus, and Indianapolis starting the fourth quarter of last year speaks to our commitment in finding the right partners and increasing our presence in the world's largest QSR market. We are excited to continue to bring great Tim's restaurants to our guests in the United States. We look forward to supporting our new partners as they begin developing new restaurants in their respective markets, while we continue to work on putting agreements in place with other attractive markets in the region. In Slide 9, we maintained our topline momentum on TH international with comparable sales growth of 6.8%. Beverages and baked goods contributed to favorable results with local innovation and global platforms like grilled wraps contributing to continued momentum in the region. We've grown the restaurant count by 95% over the last 12 months and now operate in six countries across the Middle East, with strong prospects for further expansion in the region for many years to come. Turning to Slide 11, let's discuss the first quarter results at Burger King. Our balanced approach to menu, marketing, image, and operations led to comparable sales growth of 4.6% while restaurant count grew by 4.3% year-over-year across developed and emerging markets. This led to system-wide sales growth of 10% and adjusted EBITDA growth of 10% on an organic basis to $180 million for the quarter. On Slide 12, we had good results in the U.S and Canada with first quarter comparable sales growth of 4.4%. Performance is driven by impactful new product launches including the launch of Grilled Dogs, which brought our signature flame-grilling technique we've been perfecting for more than 60 years to hotdog. We offered Grilled Dogs at more than 7,000 restaurants and they've quickly become guest favorites. Similar to what I mentioned regarding Tim Hortons, Burger King’s U.S and Canada business positively benefited from better weather and a leap year impact in the first quarter. In addition, as we transition into Q2, we've seen sales levels softened a bit sequentially. However, we remain very confident that we have the right strategy in place to deliver strong results for the year and for the long run. Turning to Slide 13, EMEA recorded comparable sales growth of 3.6% for the quarter with strength in Russia, Spain, and the U.K. Restaurant count grew by 7% year-over-year led by Russia, Spain, France, and Turkey. In Russia, our joint venture has plans to reaccelerate the pace of development in 2016, while in Spain our newest joint venture is up and running and we expect it to be a significant contributor to our full-year growth. On Slide 14, APAC comparable sales growth for the quarter was 4.7%, driven by growth in China where we saw double-digit same-store sales growth, as well as strong performance in Korea and Japan. Restaurant count grew by 18% year-over-year with 24 net new restaurants for the quarter with notable openings in China and India, two of our most important joint ventures that have been formed in the past two years. Moving to Slide 15, we achieved strong same-store sales growth of 10.1% led by excellent results in Brazil and Argentina. Our restaurant count grew by 5% year-over-year mostly driven by Burger King Brazil. I’ll now turn it over to Josh, who will discuss the financial results for the quarter.
Josh Kobza: Thanks, Daniel. Let’s turn to Slide 17, where we review RBI financial results for the quarter. In addition to restaurant growth over the past 12 months our strong same-store sales along with discipline on costs at Tim's and Burger King resulted in first quarter adjusted EBITDA of $408 million, which grew 23% on an organic basis versus prior-year results. Adjusted net income increased 92% year-over-year to $142 million or $0.30 per share as we transition to a less capital intensive development model at Tim's and achieved interest expense savings primarily as a result of last year's debt refinancing. Last May we paid down $300 million of total debt and repriced our term loan to [indiscernible] 275 basis points with a 1% LIBOR for. Furthermore, in December of last year we repurchased 8.15 million partnership exchangeable units, resulting in diluted weighted average shares of 468.4 million on an as converted basis. Moving to Slide 18, we achieved free cash flow of $190 million during the quarter, driven by adjusted EBITDA growth in the transition to a franchisee led development model. We maintained a balanced approach to capital location, returning capital to shareholders, paying down our debt, and reinvesting in the business. This quarter we allocated capital across debt repayment of $17 million and dividends of $128 million, ending the quarter with $826 million in cash. Turning to Slide 19, we show our capital structure. As of March 31, 2016, our total debt was $9 billion and our net leverage was 4.7 times LTM adjusted EBITDA, down approximately 0.5 turns year-over-year. Moving onto Slide 20, on April 27, 2016 the RBI Board of Directors declared a dividend of $0.15 per common share and partnership exchangeable unit of RBI LP, payable on July 6, 2016. I’ll now hand it back to Daniel for concluding remarks.
Daniel Schwartz: Thanks, Josh. By increasing the presence of our brands around the world and improving the quality of every guest experience in our restaurants, we're driving positive same-store sales growth and increased profitability for our franchise partners and for RBI. We’re very encouraged with the progress this quarter and are excited by the long-term growth prospects for our brands. We've strong operating partners and dedicated employees all around the world who we believe will enable us to achieve our targets and we look forward to updating you on our progress again next quarter. Thank you for joining us today and we will now open-up the call for Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Nicole Miller of Piper Jaffray. Please go ahead.
Nicole Miller: Thank you. Good morning. A couple of product and development questions. On the product side in Burger King, did the Grilled Dogs help mix shift with that, use that as an entrée or as an add item primarily?
Daniel Schwartz: Hey, Nicole. It’s Daniel. We are really pleased with the launch of the Grilled Dogs this quarter. As we’ve discussed last time, this is one of the larger product launches that we've had in some time, our way of bringing flame growing to a great product that folks know and love. We saw both, we saw new guests coming to -- come try the Grilled Dogs. We saw existing guests adding Grilled Dogs to their meals. So we saw it as a mix of entrées and an add on. So it’s a nice healthy mix with a good ticket average for us. So we’re really pleased with -- really pleased with the performance of the Grilled Dogs both from a guest satisfaction and from a franchise profitability standpoint.
Nicole Miller: How can we think turning to development, how can we think about development through the year? I know it’s difficult, because it’s franchised and there is only so much you control and obviously you’re growing globally. But should we look for this 1Q as the pace for the rest of the year, or an acceleration potentially as we go through the year?
Daniel Schwartz: Yes. Hi, Nicole. It’s Daniel again. No, we would look to see the pace of growth across both brands accelerate for the balance of the year. We are really excited about the outlook for restaurant growth and Restaurant Brands International. On the Tim Hortons front, you’ve seen some of the development agreement that we put in place in the U.S where we’re actively expanding the brand. We have a long track record in the U.S., 25 year track record with Tim Hortons. Have rent 650 restaurants today and we’ve signed important development agreement in places like Cincinnati, Columbus, most recently Indianapolis. And we're excited to see these come to life and bring this great Tim Hortons guest experience to folks in these markets and we would see initiatives like this enable us to accelerate the pace of growth on the Tim's front. And on the Burger King front, similarly new master franchise agreement that we’ve signed in the last year, year and a half places like Spain, Germany, Italy and as you know last year our excellent operating partners in Burger King France acquired and now are in the process of converting quick restaurants. So we’re excited to see the pace of development accelerate in France through the conversion of quick restaurants. We’re seeing things ramp back up in Russia. So, lots of good things both brands all around the world give us confidence in our ability to accelerate the pace of net restaurant growth at RBI this year.
Nicole Miller: And just the last big picture question. As you look down the road and this is well into the future, how do you view your ability to grow the portfolio brands and really leverage the human capital both corporate and the franchise network you’ve built, the operational playbook and really balance that with access to capital?
Daniel Schwartz: Yes, what we like about our business, the industry that we operate and the incredibly iconic brands that that we own, there's so much room for organic growth. And I talked about all those countries between both of the brands and I didn't even mention all -- the Tim's international projects that we’re working on as well. So, we feel like there's so much headroom in front of us to grow our brands and our business organically. And you saw this quarter we grew our organic EBITDA by over 20%/. So, we feel like we have so much on our plate and we're just focused on running our two brands. And if we run our two brands really well we can continue to deliver great value for our guests, our franchisees, our employees, our shareholders for the long run. So we're just focused on the two brands right now.
Nicole Miller: Thank you.
Daniel Schwartz: Thanks, Nicole.
Operator: Our next question comes from Will Slabaugh of Stephens Inc. Please go ahead.
Billy Sherrill: Hey, thanks guys. This is actually Billy on for Will right now. I wonder if you could just elaborate a little bit more on the comment you made regarding -- little bit of sales softening to start 2Q and whether or not there any, underlying geographical trends or maybe any daypart trends that you might be able to speak to? Thanks.
Daniel Schwartz: Yes, it’s Daniel. The comment I referenced to the Burger King business, yes, internationally we saw the strong pace continue. We did see the trend softened a bit in the U.S. You know as it’s been our policy in the past that if we saw a departure from trend, we’d mention it. We don't see anything particular in the dayparts where it’s going into, but what I’d say is we’re confident in the strategy focused on the guests, focused on our owners’ profits and we’re really confident in our outlook for the full-year and for the long-term.
Billy Sherrill: Thanks. That’s helpful. And congrats on a great quarter.
Daniel Schwartz: Thank you.
Operator: Our next question comes from Joseph Buckley of Bank of America. Please go ahead.
Gregory Frank: Hey, guys. This is Greg Frank on for Joe. Just on the Tim Hortons business, the cost of sales and margin this quarter, very, very strong. I’m just wondering what primarily is driving that. Is that company store closures, is that the Tim Hortons distribution business that you guys are able to take some costs out there?
Josh Kobza: Hi, Greg. It’s Josh. Good morning. So there are three primary drivers that I would call out for you on that one. The first one is that we have a significantly lower number of VIEs this year. So we’ve managed to reduce the number of VIEs that we have by basically turning more of those into normal franchise agreements. The second piece is we’ve been able to grow our retail business very significantly year-on-year and that business line has higher-margins than the overall segment had historically. And the third piece is as you’ve mentioned, we have been able to achieve some cost reductions in the overall supply-chain business. So, those are the three big drivers that have led us to improve the margins in that segment.
Gregory Frank: Got it. Got it. And then, could you just give us an update on where you stand with the quick transaction in -- maybe the pace of conversions or how many you’ve done so far?
Josh Kobza: Yes. I think as Dan mentioned earlier, we close the transaction at the end of last year and we’re working very closely with our partners in France to move forward with all -- with the conversions of the quick restaurants in France. We are really pleased with the pace that we’re moving together with our partners and the local franchisee in France. We haven't given a guidance, but we’re moving as quickly as possible to begin converting restaurants this year.
Gregory Frank: And last one for me, just China -- and you talked about the fourth quarter and last year a comping of 15%. What have you seen into early 2016? Is that market continue to post results in that range?
Josh Kobza: Yes, we've seen very, very strong continued results in our Burger King China business. We've made such incredible progress there in the past few years. We accelerated the pace of restaurant growth, improved unit level economics, bringing the great Burger King experience to more and more guests throughout China. And we really attribute that to having some of the best operating partners in the world and our partners from [indiscernible] who are leading the efforts there in China.
Gregory Frank: Thanks, guys.
Josh Kobza: Thank you.
Operator: Our next question comes from Brian Bittner of Oppenheimer & Company. Please go ahead.
Brian Bittner: Thank you. Thanks very much. Just going to back to the sales trends [indiscernible] on the Burger King U.S business, I realize the trends not something that is too worrisome. But from your perspective what you think is the main driver of the softening? Do you think its the weather impact change or are you seeing something competitively thank you want to point out or is this more just in line with the softening of the entire industry maybe?
Daniel Schwartz: Yes, Brian. It’s Daniel. It’s hard to say. I think you're right. The comment was limited to the BK U.S business. Internationally we've seen the business continued to going on a strong pace. The industry is always competitive. In the first quarter we did have a little bit of a benefit from some better weather. There was the extra day from the leap year. And as we said in the past, the industry is always competitive. It's our job to kind of grow independent of macro situation. We have a policy that if we depart a bit from trend, we will let you know. But like I said, I mean, we’re still confident in our strategy, driving guest satisfaction, driving franchise owner profitability. We made a lot of progress in the Burger King business in the U.S over the past few years going from a million one per restaurant to a million three per restaurant and it's our job to continue growing from there, delivering our net great guest experience, further growing our franchise profitability. And we’re really -- we feel really good about our outlook for the full-year and for the long-term in the Burger King U.S business. Some quarters will be stronger than others and that’s how our business works, but we still feel really good about things.
Brian Bittner: Totally understand. Thanks for that. And just second question is just -- I know its not that big of an impact to your profitability, because its mostly franchised, but the restaurant margins for Burger King -- I mean, they’re quite incredible. I don’t think we’ve really seen anything like this, out of the Burger King, almost 20% restaurant margins. Year-over-year, what’s really driven that? Is that really a commodity thing? What are you leveraging there? How did you get that much margin expansion in the company-owned stores?
Josh Kobza: Hi, Brian. This is Josh. What I’d say is we’ve talked quite a lot about how we've been able to drive significant increases in sales through 2015. You saw solid sales performance at Burger King in the U.S in Q1 of 2016 as well. And that that’s driven meaningful increases in profitability at restaurant levels for both our franchise partners and for our company-owned restaurants. So, I think what you're seeing in our restaurant of profitability is, is a very positive trend and we’re seeing that for our partners at the franchise level as well.
Brian Bittner: Okay. Thanks.
Josh Kobza: Thank you.
Operator: Our next question comes from Mark Petrie of CIBC. Please go ahead.
Mark Petrie: Yes, good morning. You spoke about accelerating the net restaurant growth and, I guess, I just wanted to ask specifically about the BK banner in the U.S. What you see is the potential for that, and what your decision criteria would be in terms of adding new locations?
Daniel Schwartz: Yes, it’s Daniel. We definitely see an opportunity to grow the size of the BK U.S. business, both in terms of our sales per restaurant and in terms of the number of restaurants. We’ve worked closely with our franchised partners over the last five plus years to invest alongside them in re-imaging our restaurants, and we’ve made a lot of progress on that front. This we felt was the best priority for us and our franchisees to devote our resources to accelerating the pace of re-imaging in the past. So if you rewind a few years ago, we had about 10% of the restaurants in the United States with Burger Kind with a modern image having been renovated, and at the end of last year, we took that number up to 50%. And you’re going to continue seeing us to invest in this in order to provide that great atmosphere and that overall great guest experience. However as you mentioned, we do see an opportunity now to also begin accelerating the pace of growth and Burger King in the U.S. as is the case all around the world.
Josh Kobza: I think if I can just add to that. From my prior comment, I think one of the biggest things that we focus on is franchisee profitability. And you’ve seen a big change in franchisee profitability in the U.S. and that’s fundamentally what will drive growth in the system. There’s clearly a huge opportunity for us to expand the footprint of Burger King in the U.S. and bring the brand to more communities around the country. And as we increase the sales of our restaurants and increase the profitability of our restaurants, we’re going to make it even more attractive to do that for our franchise partners.
Mark Petrie: Okay, thanks. That’s really helpful. And then, Josh I guess, just to follow-up on a previous comment of yours with regards to supply chain efficiency at Tim’s. Could you just talk a little bit about what the initiatives there have been, and what the future opportunity is from here?
Josh Kobza: Across the supply chain, our number one focus is just making sure that we supply the best products and the best service to our restaurants at the right cost to our restaurants, and that’s really what we’ve been focused on. And I think we’ve been doing a good job of that over the course of the past 18 months.
Mark Petrie: And do you see continued opportunity?
Josh Kobza: Yes, we’re always going to be focused on improving our operations across supply chain as with all of our operations around the world.
Mark Petrie: Okay. Thanks very much.
Josh Kobza: Thank you.
Operator: Our next question comes from Andrew Charles of Cowen and Company. Please go ahead.
Andrew Charles: Great. Thank you. Was curious about BK U.S. You mentioned successive Grilled Dogs in 1Q, but curious why I didn’t caught [ph] the five for $4 promotion driving sales. You mentioned on the 4Q call that, January sales were up to a strong start.
Daniel Schwartz: Yes. Hi, Andrew, it’s Daniel. Look, I think when you look at what drives our results on the Burger King U.S. business or any of the Burger King businesses, or even this sort of high 10s as well, it’s kind of all four pillars of our strategy. It’s the menu, marketing, image and great operations. And there’s no silver bullet, there’s no single product. Yes, Grilled Dogs did well. We’d like to think that we have a balanced approach with respect to premium and values, so we have products at full price like Grilled Dogs and Chicken Fries and our core Whopper sandwich. And yes, there is some value offerings five for $4 being one of them. But there is no single -- there is no single silver bullet. I think we saw a nice benefit from all the restaurants that we’ve re-imaged over the past few years. We’re seeing a benefit in delivering better and better great guest service. And it’s our job to offer kind of convenience and value across our whole menu.
Andrew Charles: Maybe similarly then -- just in April and focused on what's in your control. You’re featuring the angriest whopper at the beginning of the month and then quickly pivoted back to five for $4 Grilled Dogs and now Chicken Rings. So is it fair to say the intensified focus on value is needed to continue to compete in the current quick service environment just given the aggressive dynamics you’re seeing?
Daniel Schwartz: Yes, Andrew, it’s Daniel. Its -- the quick service restaurant industry is a competitive one. It’s always been a competitive industry. It’s our job to kind of to grow independent of what's going on from a macroeconomic perspective. And I think, you see us always with a balanced approach. Every quarter, every year, we have good offerings in the value and we have good offerings in core, good offerings in premium. So, you’ll us with -- you’ll see us playing across the full spectrum, because that’s what our guests want.
Andrew Charles: Thank you.
Daniel Schwartz: Thanks.
Operator: Our next question comes from Karen Holthouse of Goldman Sachs. Please go ahead.
Harsh Aneja: Hi. This is Harsh Aneja on for Karen. Congrats on a great quarter. We’ve seen Burger King work with two bundle options in the past, the five for $4 and the two for $5. What do you think the puts and takes have been between the two in terms of operations, margin profile, consumer resonance, flexibility and the ability to keep new news in front of consumers? Would be curious for any thoughts you are willing to share.
Josh Kobza: Yes. Thanks, Harsh. Likely said before, we believe in taking a balanced approach. We like to offer our guests good value. We think the five for $4, the two for $5; those are two examples of good value. We think the Grilled Dogs has great value at the price point at which we launched it. And we actually -- we think, across the whole menu we have plenty of good value offerings. And it’s our job to have a balance between premium and value, and you’ve seen us do this in the past. You’ve seen us do this today. What we can say is, and we look at the guest satisfaction levels. We see them continuing to trend positively. And at the end of the day that the best metric for us to look at is, is the growth in our franchise profitability which has been strong last year and has continued to be strong into 2016. So if we can drive great guest satisfaction, drive continued restaurant owner profitability; then we feel like we’re doing the right thing. Thank you.
Harsh Aneja: Great. Thank you.
Operator: Our next question comes from David Palmer of RBC. Please go ahead.
Eric Gonzalez: Hi, guys. It’s actually, Eric Gonzalez, in for David Palmer. I just want to circle back to the Tim supply chain business for a second. Obviously you’re choosing impressive cost savings in that part of the business. But I think it would be helpful if you can help us visualize exactly how you’re achieving those savings? Perhaps if you could provide an example or two, I think it might be very helpful. Thanks.
Josh Kobza: Hi, Eric, it’s Josh. As I said, across cost of sales I think you’re seeing, there’s a few different big factors in there, and they’re all driving a meaningful piece of kind of the margin expansion that you’re seeing. Obviously we have a pretty big initiative going on where we’re trying, we’ve been converting some of the VIE restaurants to normal franchise agreements. And so that’s affecting the margins and that business line. We do have a -- we have a pretty big and growing retail business that’s present especially in Canada, but both in the U.S. And that’s been a big focus for us and something that especially through the back half of last year and the first half of this year has been a big driver of performance. And also as you said, we have been able to find some efficiencies through our supply chain business. So I would just, I would emphasize that there are all of those things happening in that segment of the business. They’re helping us achieve better performance.
Eric Gonzalez: Maybe I’ll circle back despite, in order of magnitude is the VIEs the biggest contributor or is it the retail business or the supply chain?
Josh Kobza: We haven’t provided disclosure on the exact size of each of those.
Eric Gonzalez: Okay. Fair enough.
Josh Kobza: Thanks, Eric.
Eric Gonzalez: Thanks.
Operator: Our next question comes from Keith Siegner of UBS. Please go ahead.
Dennis Geiger: Hi. This is Dennis Geiger on for Keith. Thanks for the question. Some of your competitors have announced quality upgrades in recent quarters. Could you comment some on how you think Burger King stands as it relates to quality scores and then are there any upgrades to core menu items currently being contemplated?
Daniel Schwartz: Yes, sure, it’s Daniel. On the Burger King front, we think we have great quality. As you know we have -- we flame grill all of our burgers and all of our grilled chicken sandwiches which is an excellent taste and excellent flavor that our guests have known to love. The Whoppers, America’s favorite burger continues to be America’s favorite burger and we’re really excited about that. Thank you.
Operator: Our next question comes from David Hartley of Credit Suisse. Please go ahead.
David Hartley: Thanks. VIEs, could you tell me how many were converted in the quarter – how many remaining -- how many VIEs you have left in the system? And should I assume they’re all at Tim Hortons?
Daniel Schwartz: Yes, of course. So there are about -- there were 22 fewer versus Q4. And compared to the prior year, there were 139 fewer. And at the end of Q1, we have 119 at Tim Hortons.
David Hartley: 119. And so when you’re converting these over, you just converted to the new structure of royalty plus wholesale margin on products you supply to them, but of course you’re surrendering all the cost related to the in-store operations, I’ve got that right, correct?
Daniel Schwartz: Generally we’re converting them from what were historically. And for the most part, what you knew in the old Tim Hortons world is 80-20 agreements to more traditional franchise agreements that as you said are more based on kind of our traditional royalty and where we own properties we’ll earn rents on those agreements.
David Hartley: And in terms of properties, is there -- has there been any sales of property in the quarter? And what is the outlook for your real estate holdings going forward, is that something you want to sell or leverage in some way?
Daniel Schwartz: We’re really happy with our existing real estate portfolio. We’re not making material real estate sales. We don’t have intention to sell the broader real estate portfolio. As with the case with the Burger King -- with the history with Burger King, we’ve kept all of the real estates that we’ve had, and we’ve maintained that portfolio. And I think probably we have the intention of doing the same thing with the real estate portfolio that we have at the Tim’s. We like the business and we have the intention of keeping it.
David Hartley: Okay, great. Thanks.
Daniel Schwartz: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Daniel Schwartz, for any closing remarks.
Daniel Schwartz: Thank you, and thanks everybody for joining us today. As we’ve said before, we’re focused on two things which is delivering that great guest experience across both brands and driving our franchisees profitability. And we think if we continue to do these or support long-term sustainable value for our guests, franchisees, our employees and our shareholders and we look forward to updating you on this again next quarter. Thank you.
Operator: The conference has no concluded. Thank you for attending today's presentation. You may now disconnect your lines.